Operator: Good morning, ladies and gentlemen. My name is Sally and I will be your conference operator today. At this time, I would like to welcome everyone to the Franco-Nevada Corporation Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Stefan Axell, you may begin your conference.
Stefan Axell: Thank you, Sally. Good morning, everyone. I want to thank you for joining us today to discuss Franco-Nevada's Q3 2015 results. Accompanying our call today is a presentation which is available on our website at franco-nevada.com, where you’ll also find our full financial results. Sandip Rana, CFO of Franco-Nevada, will provide a review of our results and Paul Brink, Senior Vice President, Business Development, will discuss updates to our asset portfolio, this will be followed by a Q&A period. Before we begin formal remarks, we would like to remind participants that some of today’s commentary may contain forward-looking information and refer you to our detailed cautionary note on Slide 2 of this presentation. I’ll now turn the call over to Sandip Rana, CFO of Franco-Nevada.
Sandip Rana: Thank you, Stefan. Good morning, everyone. As Stefan mentioned, I will be providing further detail on the financial results for the quarter, the quarter in which the company continue to achieve GEO growth during our lower commodity price environment. Paul Brink will speak to the increasing strength of our asset portfolio and particular the recent steam addition on Antamina, as well as provide updates of Cobre Panama, a key development asset for us; Reserve increases at Candelaria; and the recent activity on the rest of our portfolio. He will also speak to our financial flexibility to continue to add to our asset portfolio, a component of which is to increase to our credit facility to $1 billion with the $250 million accordion. After that David Harquail will provide some closing remarks. With respect to our financial results, you all have seen from the press release issued yesterday, our overall royalty and stream operations continue to perform well, despite the volatile commodity market. We are seeing the benefits of having a diverse portfolio with 46 producing mineral assets, the majority being gold assets. This portfolio continues to deliver. The operational and financial results for the quarter were in line with our expectations. While, there were some assets which maybe have performed as expected, there were some that were better than plan. Overall that was another solid quarter for the company. As you turn to Slide 4, you will see two charts on the page. The first highlights the average gold price for each of the last five quarters. For the third quarter, the gold price averaged $1,124 per ounce, a 12.3% decrease from the prior year. Third quarter 2015 pinching you to downward trend of lower gold prices; we have not seen average gold prices this low since early 2010. Gold was not alone when it comes to volatility, both platinum and palladium also pulled back significantly versus prior year. As you all have seen, this did have an impact on our PGM GEOs and PGM revenues during the quarter. Platinum prices averaged 31% lower than prior year and palladium prices were down 29% for the same period. However, when you get down to the basics, the production from our properties, the GEOs received from our assets, the company continued to have year-over-year growth. The second chart on Slide 4 highlights the gold equivalent ounces received by the company over the last five quarters. Gold equivalent ounces earned increased 22.2% year-over-year, so just under 86,000 GEOs compared to 70,100 a year ago. Slide 5 provides a waterfall chart showing the source of the movement year-over-year. As you can see, PGM assets had the largest decrease, which is a combination of lower production from the PGM assets and impact of prices when converting to GEOs. The gold assets excluding NPIs and Candelaria had a small net GEO decrease during the quarter. On a positive note, our gold NPIs had better performance in the quarter. Hemlo benefited from the lower Canadian dollar as it is at Canadian operation and we do expect an NPI payout in Q4 also. GEOs from gold strike were higher in the quarter under both the NSR and NPI. The operation is beginning to benefit from the thiosulphate process addition. The larger source of GEOs during the quarter was from the Candelaria addition. For the quarter, the company received and sold approximately 19,000 GEOs from this asset. Turning to Slide 6, you can see that the overall revenue earned by the company was 103.7 million for the quarter. It was a slight decrease over the prior year. What is important to note is that the revenue decrease was only 3.8% during a period where the average gold price was lower by 12.3% and oil prices were lower by over 40% when compared to prior year quarter. The increase in GEOs received during the quarter compared to prior year, did result an increase in mineral asset revenue of 10%. However, the reduction oil and gas revenue has can be seen on the bottom chart did result in a decrease in overall revenue. Actually oil and gas production attributable to Franco-Nevada was fairly consistent with third quarter 2014 with the decrease in revenue being the result of the lower oil price and foreign exchange. As you turn to Slide 7, you will see the key financial results for the company for the three months and nine months ended September 30th, 2015. As mentioned, the company earned higher GEOs in the quarter resulting in $103.7 million in revenue. Adjusted EBITDA was 78 million for the quarter, down from 88.7 million in 2014. The decrease is due to the increase in stream ounces delivered with the addition of Candelaria thus increasing cost of sales. Net income was also lower versus prior year at 15.2 million, while adjusted net income was 19.4 million, down from 34.5 million a year ago. On a per share basis, adjusted net income was $0.12 per share compared to $0.23 per share in Q3 2014. Slide 8 provides a chart illustrating the decrease in adjusted net income. The key movement year-over-year are on the cost side. With the addition of Candelaria, we had an increase in deflation expense during the quarter. It’s important to note that as mineral reserves and resources are added at Candelaria are any one of our other properties the deflation cost per ounce will decrease. As well due to the oil and gas production volumes being consistent with the prior year, the company reported similar deflation amounts in Q3 2015 as Q3 2014, despite the significant decrease in oil and gas revenue. Also on the cost side, cost of sales did increase as the company received approximately 50,000 stream outs during the quarter compared to 33,000 ounces in third quarter 2014. We pay a per ounce purchase price when stream outs are delivered to us which is recorded in cost of sales. These cost increases were partially offset by lower income taxes as a result of lower taxable income. As mentioned, the net result was a decrease in adjusted net income to $19.4 million. We continue to stress the scalability of our business model and believe Slide 9 highlights this. Our overall costs have increased over the last few years. The increase is due to the addition of streams to our business but these are variable costs. Stream cost will continue to increase as the company has delivered more stream ounces which we consider a positive. This has been the case in third quarter with the addition of Candelaria. What I think is important to highlight on this slide is the fixed cost. These are the company’s corporate administration costs and as you can see, they have remained fairly constant each year regardless of revenue increasing or remaining stable. Corporate administration cost continued to be less than 5% of revenue and for third quarter 2015 were slightly above 6% of adjusted EBITDA. As illustrated on the chart, the company continues to maintain a very strong margin which was greater than 75% for Q3, 2015. As you turn to Slide 10, the geographic revenue profile continues to be lower risk with 79% of revenue being from the Americas with Latin America being the largest contributor. For Q3 2015, 90% of revenue was generated from precious metals, a breakdown of 83% from gold and 7% from PGMs. The company remains diverse with 46 revenue generating mineral assets. And with that I will turn the call over to Paul Brink to provide an update on our recent asset developments.
Paul Brink: Thanks, Sandip. In the quarter, we acquired for 610 million of stream on the sliver attributable to Teck’s 22.5% share of Antamina. The Peruvian mine is one of the lowest cost major cap mines in the world. The first silver deliveries are due to be received in a couple of days November 15th and so the stream will be immediately accretive on own measure. We believe Antamina will be a long life asset and the investment exposes us to the tremendous exploration potential of the property. Slide 12 covers Cobre Panama. We finalized in the quarter a replacement agreement with First Quantum. The stream line they are reporting and provide a greater financing flexibility to First Quantum. The first payment of 337.9 million was made on November 3rd and the next draw is expected in early 2016 and the total gross for 2016 are expected to be approximately 180 million. Capital costs for the project have been revised down approximately 7% to 5.95 billion. And few days ago, First Quantum reported the project is 35% complete and remains on track of first concentrate production by year end ‘27 and a phase commissioning and ramp up over 2018. Slide 13 has pictures of the progress at Cobre Panama and you can see preparations been made, place the mill shells on their foundations, pre-stripping of the Botija pit, progress on the tailing storage facility and the erection of the concentrate storage building. This year has been a good one at Candelaria. As a reminder on Slide 14, the open pit reserves were updated in April and increased 24%. In Q3, the reserves were further updated. From the time we did the deal for contained metal and reserves is up 25% without taking the 18 months of depletion into account, or if you take that depletion into account, they are up about 35%. Included in that is an increase in the underground reserve from 12 million to 46 million tons. The best indication of the ongoing success of the underground drilling is the increase in the underground resource which is increased from 37 million to 184 million tons. Both numbers are inclusive of the reserves. Following on from these updates, the new mine plan now projects 26% more GEOs over the next four years. While, almost all the developments with the portfolio were positive this year at the Phoenix project where we hold a small NSR, Rubicon announced the temporary suspension of mining, while it reviews its understanding of the whole body. Slide 15 gives the long list of good news this year. Many of our North American mines that you know well have at great exploration success. But this also have Regis’ resources on your radar with their recent successes at Baneygo and two of this well on the Duketon property. We have a group of assets with news where new mines or additional deposits are actively being advanced. The most recent development is Kinross announcing this week that they are studying a phase expansion at Tasiast that may see production increased from the current 8,000 ton per day with the first phase to 12,000 per day and the second to 38,000 ton per day. The first phase would cost approximately 290 million and production would be at 368,000 ounces per annum. We’ve also seen a few of our assets moving to stronger hands are in the case of Hardrock receives sponsorship from deeper pockets. Our available capital is shown on Slide 16. With the increase in our credit facility, we have available capital of 830 million. They continue to be a number of stream transactions in the market and we feel we are in a good position to compete for them. With that I’ll hand it over to the moderator and welcome any questions.
David Harquail: Actually Paul, I have few comments first before I do that. So thank you Paul and Sandip. And as you’ve heard from them, it’s been both solid and busy quarter for Franco-Nevada. And I also want to thank our large syndicator bankers for their confidence and support. And further extending our credit facility, I believe that will be finalized today. And we’re now using a modest amount of that facility and we appreciate the flexibility from these banks to allow us to do more. Just a couple heads up, this company always maintains self-perspectives, our existing facilities expiring I believe at the end of this month. And we will be renewing it as a U.S. $1 billion self-perspectives. Don’t read any more into this filing beyond it being a renewal. We have no plans for an equity issue. Any broker that sends us an equity term sheet will go to the back of the line. Secondly, for our investors outside Canada, you will no doubt be aware that we have a new liberal government, but you might not be aware of is that the liberal election platform promises to double the tax rate on option gains. We don’t know when and how that will be implemented but expect that a number of our directors and management that have been sitting on option gains for eight years we want to recognize at least a part of those gains. Again don’t read any more into these exercise than that. I have almost all of the management team with me here at the table. Operator, we are now happy to take any questions.
Operator: Certainly. [Operator Instructions] And your first question comes from the line of Cosmos Chiu with CIBC. Your line is open.
Cosmos Chiu: Good morning, David, Sandip and Paul and congrats on yet another very strong quarter. A few questions from me here, maybe first off on Antamina, you know you’ve stated that you’ll be getting about 12,300 to above 15,000 ounces of GEOs in Q4, is there any kind of lag between production and sales attributable to Franco-Nevada? And as sense are you going to see any kind of revenue from those ounces?
Sandip Rana: Cosmos, Sandip here. Yes, so we get delivered 45 days after quarter end, so we should be expecting our first delivery next week. And to us, its inventory that we are buying from Antamina from Teck and so for us recorded as revenue, we have to sell it, so the plan would be to sell those ounces before the end of the year and record the revenue.
Cosmos Chiu: Okay, so the majority of those ounces were likely you know turn into revenue for Q4 purposes?
Sandip Rana: Yeah, I would expect all of those ounces to be sold in Q4 before the end of the year.
Cosmos Chiu: Okay, great. And then maybe on Antamina as well, congrats again on getting that done. You know as we saw after your acquisition of Antamina, one of your competitors essentially acquired a stream on the same assets. Maybe David, what are your comments in terms of potential syndication because you know that’s a question that we hear about quite often in terms of the industry, in terms of potential for cooperation between the royalty companies and streaming companies and hopefully hoping helping returns for the industry itself, so how would you look at that?
David Harquail: I would welcome it, Cosmos as you know I think that will be the ultimate side, the maturity would act like commercial banks and starts syndicating and spreading any portfolio risk in - with for any individual company. I think the opportunity in syndicator is broader than just within the royalty companies themselves. I think as you see the return start climbing on royalty or streaming deals. There is going to be other parties that be interested in participating in these types of structures with us. So I see there is a way of us to punch above our weight in terms of the capital available and the deals that we could do by working with other parties. I think anything that maximizes our flexibilities is positive.
Cosmos Chiu: Great and maybe switching gears a little bit, looking back you know beginning of year, you gave us the GEO guidance for the year, was the upper or lower end, now it seems like you were likely reach the bottom half of I think at least for the gold GEOs for 2015. What needed - would that needed to happen for you to reach the higher end of that guidance and what sort of has changed in 2015?
Sandip Rana: So Cosmos, I guess the MPIs and they are very - they are leveraged to the gold price and obviously there is cost associated when you do determine what the amounts paid to company or so, with the lower commodity price, they has had an impact, so that the Hemlo NPI as well as gold strike which is not ramping for the thiosulphate. There has been some delay I guess you could say in terms of the expectation there, so that’s been impacted. The other impact has been on our platinum and palladium ounces. We convert those to GEOs based upon average prices and with the platinum, palladium prices decreasing more significantly than the gold price, there has been less GOEs attributable to Franco-Nevada. So those are the main I would say components of begin at the lower end of the guidance range.
Cosmos Chiu: Yes, of course. And maybe one last question from me, you know you mentioned in the MD&A as well in term in terms of the situation of Rubicon, you know certainly a very unfortunate situation to a lot of people out there, not a huge investment for Franco-Nevada, I believe only about $20 million that was put in upfront, but maybe can you talk about how your due diligence process differs from a smaller investment such as Rubicon versus some other bigger ones that you’ve done?
Paul Brink: Thanks Cosmos. Yeah, there is couple of different elements to our business and you’ll recall out the old Franco, the principal business was buying third party royalties. And those - they often end our small investments and more numerous. In those cases, you often don’t the case, you don’t have the opportunity to do due diligence because you are dealing with the third party versus an operator. Where we’re doing stream investments, you’re dealing with the operator and obviously they are much larger investment and you can do much more fulsome due diligence. So we continue to do both, we think they both good businesses but you know the key is on those smaller asset, you don’t have the same opportunity for due diligence and so you can’t put this, need same amount of capital to work.
Cosmos Chiu: Great, that’s all I have. Thank you. Congrats again.
Paul Brink: Thanks.
Operator: [Operator Instructions] And your next question comes from the line of John Tumazos with John Tumazos Very Independent Research. Your line is open.
John Tumazos: Congratulations on doing so well in such a tough market. And today is some of the metals make new model i.e. was copper, gold et cetera, could you refresh us on you risk criteria, I guess a lot of mines are under pressure at these prices, both as it regards to risk of the mine, the risk of the parent corporation and the risk of the host country, are you looking for the bottom cortile, the bottom half of the cost curve et cetera, et cetera?
David Harquail: John, David here. And thank you for your congratulations. How we look at projects is it’s always - we always start with the property and the project itself and the nature of how can we make, our title was defensible and secure as long as possible. So I think we generally start with, one, do we like the property, can we demonstrate through our due diligence to the board that in pretty well all scenarios we can get our money back and then what’s the optionality beyond that and then how can we make sure that where we absolutistic here for the very long term in our assets. So I guess one of the key things is, it’s - you know absolutely you know I had to mean at the lowest cortile of the copper curve production curve is going to be a survivor in the cycle. But probably even more important to us is the nature of our title and the asset. And what we are always looking for is to make sure that we have an interest in land or something that defendable in a quarter law that respects property rights. So you’ll see all of our contracts essentially with when we instigated then with western operators they are in western courts of law that you know push comes to shell, we don’t rank behind bank in any of our investments and that we can survive even the temporary carried maintenance or a halt in operations, any individual operations because we are taking a long term view. We want to preserve our optionality on those precious metal ounces for multiple cycles. And from time to time, we’ll have mine cycle in the carried maintenance but then they will come back on the next cycle. So we take a long term view. Key is title on the properties and being a sort of - has little possibility for encroachment on our margins is possible.
John Tumazos: Thank you.
Operator: There are no further questions at this time. So Axell, I’ll turn the call back over to you.
Stefan Axell: Thank you, Sally. I want to remind people that we expect to release our fourth quarter 2015 results as well as our new asset handbook on March 10th and look forward to you speaking to you then. Thank you for your interest in Franco-Nevada.
Operator: Ladies and gentlemen, thank you for your participation today. This concludes today’s conference call. You may now disconnect.